Operator: Greetings, and welcome to Pressure BioSciences Q1 2023 Investor Call and Business Updates. [Operator Instructions] Please note this conference is being recorded.
 I will now turn the conference over to your host, Richard Schumacher, President and CEO on Pressure BioSciences. You may begin. 
Richard Schumacher: Thank you, Paul, and welcome, everybody. It seems like we just did this. Welcome to the PBI First Quarter Financial Review business update. Before we begin, as always, I need to read a cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. 
 Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly in the updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which any such statement or statements were based. 
 First, I'm pleased to welcome back to the financial review and business update, John Hollister. John is the company's Director of Marketing and Sales. As many of you might remember, John is himself an entrepreneur starting several companies and also including on cannabis, one of the first publicly traded cannabis companies. He also has worked in big pharma in the past with budgets, I can only dream about sometimes. Welcome, John. 
John Hollister: Thanks, Rick. Appreciate it. And I'm happy to be here today. 
Richard Schumacher: So for today's meeting, we're going to start with a brief discussion of the 2023 first quarter results. Then we're going to highlight some of the successes we achieved during the first quarter and the year-to-date in 2023 as well as some of our goals for the rest of fiscal year 2023 as part of a general business update. Afterwards, we'll answer a handful of questions that have been sent to us. But we're also going to find time to take some calls from the open lines from everybody that's joined us today. 
 So I'm going to briefly go through the financial review of the first quarter compared to the first quarter of 2022. We're very happy with the first quarter. There are a lot of good things. There are certainly some things you need to improve on. But for the most part, we're pleased with the first quarter. It was -- and both financial and operational basis. The first quarter was the first quarter that we've ever had that's broken 700,000. We almost -- we did $740,000 in revenue. This is going in the right direction. It's certainly not our goal to try to increase revenue by $200,000 a quarter. We need to put some zeros on that 200,000, but it's certainly a step in the right direction for -- it is a terrific quarter. When you think about the sales across the board. 
 Our goal is to have 1 or more quarters with greater than $1 million in revenue this year. That is our goal. And next year, our goal is to have at least 1 quarter every month is $1 million in revenue. So to reach that, we're going to have to succeed in what we're doing. And our expectation is we are going to succeed in what we're doing and primarily what that means is commercializing Ultra Shear. I'm more [ stuck ] in that Ultra Shear today than I was even a week ago, and I'll talk about that a little bit, but -- and that's an understatement because I'm pretty stoked about Ultra Shear to begin with. So for me to be more happy about what we're doing is saying something. But I've had a number of interactions over the past week that tell me that we are absolutely positively going in the right direction that we made the right decision 1.5 years ago to pivot the company into a majority, vast majority -- super majority working on Ultra Shear. 
 We haven't given up on the other 2 platforms, but Ultra Shear is certainly the platform that's going to get us to where we want to go faster and with more revenue than the other 2, and the other 2 will follow. So we're going to talk about that in a little bit. But right now, what I'd like to talk about is just briefly, everything was spelled out in the press release. Of course, it's in the queue, but it's lost in 50 pages of a lot of stuff. 
 So total revenue for the first quarter was $740,000, which was an increase of 54% over $480,000 for Q1 '22. Instrument sales were up 74% from 245,000 of the 427. Consumable sales were up about 66% from 40,000 to 66,000. Agrochem sales thank goodness were up from 83,000 last year. The first quarter is a good quarter as is the second to sell these products, up 57% from last year. 
 The operating loss as we put out there, and we did some explanation, and I'm sure there may be some questions about that. Operating loss was $3.6 million compared to $1 million for the same quarter last year. This operating loss increase was pretty much primarily do, if not all due to 2 noncash expense items. One was $1.48 million for stock and warrant issuances to debt holders and professional service groups and the other was another $1.4 million is $1.43 million for equity-based compensation awards when stock options are given, which we haven't done very much lately, it's been 3.5 years. 
 We have to use black shoes to value the stock options we have to take a hit. This again, is noncash. So if you back out the $2.9 million in noncash items, we actually had an operating loss decreased from the first quarter last year as it should, with this significant increase in sales. And also our cash that was used in operations in the first quarter was down substantially. In the first quarter of 2022, we used $756,000 and in the first quarter of '23, we used 422,000. 
 So we're heading in the right direction across the board with the exception of Ultra Shear and that is what we expect to be leading the charge from the second quarter on. Basic and diluted loss per share was $0.46. So -- as we said in the press release today, we've reduced our burn by 44% to just $422,000 in the first quarter of '23. We believe this reflects the focus that we have on cash management and very disciplined cash management during the first quarter of '23, we issued these onetime stock issuances to certain net holders and investor relations firms to assist with what we call critical corporate financing development initiatives. We needed to get the word out. We need to let people know that we've pivoted. We need to let investors know that we believe that Ultra Shear is what we should be doing and putting the vast majority of our efforts into-- and we believe we've done that and we need to proceed through the commercialization of Ultra Shear and have investors understand what we're doing. 
 So we spent money mainly stock to bring in additional investor relations and to bring in cash that we needed to try to expand the horizon of Ultra Shear and cash is often limited here. So we use stock in place of cash for some of the things that we've needed to do. Also in the quarter, we gave stock options for the first time, and I hate to say it in 3.5 years. We recognize the importance of what incentive options are to everybody. And because of that, we are very aware that we need to get options out to a number of people and keep them here. We have a very high retention rate. 
 We have the vast majority of our staff, and we have 16 members. The vast majority of our staff have been here for much of that 16 years. They're very dedicated to the company. They're very dedicated to the shareholders, and they're extremely dedicated to the technology. And because of that, I'm happy to say that the retention rate is very high, but we do have a lot of competition. We're in the #1 biotech area in the world. And we have lost people in the past to other companies, and they do give options so we need to follow suit. And that we've done and not enough. And I should also mention that when we gave the options, we gave them above market. So they're well above market now at $1.50, but the stock was in $1.350 range when we gave the options, and the Board decided we were going to do them above market. 
 So John is -- of all of the people and our sales do touch many of our personnel. We do a lot of things in-house because we can't afford you do them out of house. And we make some of the instruments. We make some of the consumables ourselves. The cost to send them out would be prohibitive. John is the frontline guy. He's a guy that's following up on all the leads. He's also taking charge of a number of things that have to do with Ultra Shear. But John is deeply involved in pursuing the orders and pursuing the interest from out there. And so I commend John for his hard work for getting the first quarter done in a record fashion. 
 And John, if you'd like to talk a little bit about the current business and the current business that we do and that which added up to this remarkable $740,000. As I said, we want to turn that into 7 figures before the year is out in a quarter. 
John Hollister: Sure, Rick. And definitely enjoy the opportunity to share a little bit more detail about what has been happening, at least as we see it. What I've been seeing in the marketplace is some encouraging signals from grants being authorized and finally funded in the university environment, which has been reflected in some uptick in purchases by the research community as well as the corporate environment. And while we have continued to enjoy a very significant uptick in service agreements, that is commitments by companies to keep their older units working and operating, which is typically a reflection that they're trying to get a little bit more mileage out of their older devices. 
 We're finally seeing people actually pulling the trigger on buying products across our platforms. And that is our own Barocycler and hub instruments as well as the products that we distribute for constant systems, all of which saw very strong sales in the first quarter and appear to be continuing and I continue to be pretty optimistic about this change in trends. But I also will say that we have decided to get to a few of the trade meetings. 
 Obviously, during the COVID time, we had to pull back from attending in person meetings, and so we weren't getting ourselves exposed to potential customers. And in the last 7 or 8 months, we've started doing that, and that's reflecting itself in our sales. And this extends not only to the pressure cycling technologies, but it's also now extending to USD. And we're getting our name out with customers. The reception to Ultra Shear has been absolutely fabulous, whether it's in the nutraceutical areas, the cosmeceutical areas or cannabis and in fact, even the beginnings of interest in the pharmaceutical side. So really, all the sectors that we have talked about interest for the potential of Ultra Shear. We're actually seeing it firsthand. People are coming and finding us at meetings and wanting to learn more about what makes us different to a person they are just shocked by the improvement in stability, clarity and expectations for a much better bioavailability. 
 So with that, I'll pass it back to Rick to extend this deal. 
Richard Schumacher: Thanks, John. So wonderful news on the financial end. It's got to get better. It's going to get better. Our goal is to get it better. And again, I will say it again, 740, it's great to be a couple of hundred thousand more than what we were this time last year. And that quarter was a pretty good quarter when we broke $0.5 million. But it's not good enough. And so our goal is very clear that in the second half of this year, our goal is to break $1 million for a quarter, at least. And our goal next year, at least 1 quarter, we want to have every month to be $1 million, and we're trying not to be that-- for that not to be the last quarter of the year, I'd like it to be the first quarter of the year, quite frankly, start off with [ Modesto ]. 
 So we have a lot of goals. We believe they're realistic. We believe we have the technology that can do it. And we believe that the technology has been proven over and over again. And people are starting to believe out there. As John said, we're finding a great reception. I'm going to talk a little bit about it coming up and when I go over these highlights. 
 First of all, on our press release on May 9, it was a follow on press release and then on January 17, where we announced that we had a consumer-focused group, we had worked with a group in California on both of these and this group was able to produce THC using a small portable prototype instrument that we had, and they brought in about 15 or so volunteers, and this is for inedible because one of the biggest problems in THC itself is that you can smoke and vape it and you can get pretty immediate effects. But if you want to not insult to your lungs and if you want to take it as an ingestible, as an edible, it's generally accepted that you're going to have 30, 45 or even 60 minutes to wait some people get anxious and take a second or a third dummy or another bit of a tincture or whatever they're using or another bit of Ravioli and they end up getting hit all at once later on and feeling sorry for that. That's for sure. 
 So it's a problem that if you're taking THC to help you sleep or curb your appetite or reduce your anxiety, which many people use it for besides just getting high, that if you take it through an edible, you're going to have to wait. And so somebody told me you got to reduce the window Rick. If you can reduce the window, you've got a terrific product. And so we went out to reduce the window. I was told, take it from 45 minutes to an hour down to 15 minutes and that would be remarkable. 
 Well, as you know from reading the 2 press releases, we know most of our THC or we didn't, but our colleagues did. And they were able [indiscernible] in California, Monterey. They were able to make a THC that actually worked in under 10 minutes, and the general average was about 3 to 5 minutes where the users are starting to feel the effect and the high that they got was generally in about 15 minutes. And what we found the second time, which we put out on May 9, was that heavy users were able -- again, and only equals about 6 or 8 here. But heavy users were able to use a much smaller percentage and get the same reaction. And that was very exciting. But what was probably most exciting is that counting both of the study groups, of which they were 30, 35 or more people, there were a handful, probably up to 10 that tried it topically and came back and said, this really worked. I mean I had a back. I had inflammation in my knee. I had arthritis in my joints and my fingers and it really worked. 
 We've read about it. We know there's receptors in the body. But it's great to hear it coming back. And you don't always hear that. There's a lot of people that have tried it and failed, but it doesn't work. And I think the key here is that we make Nano the right way. Our Nano is truly Nano. There's a lot of pretenders out there. There's tremendous number of pretenders. So many that people say don't even call it Nano because they'll think it's not Nano. But we do it right. We know it works and we've had feedback from a dozen people that have said, "Wow, this works topically in addition to reducing the time on [indiscernible]."
  So that's very exciting. I will say here, I was at a meeting last week, Thursday and Friday in Brooklyn, New York of family offices and I met 2 people. I met one in person and I met one on the phone. And the one in person said, "I'm very interested if you can reduce the window." And I showed him and told him what he had, and he said, "If you can prove this, we'd like you to work with a Massachusetts firm that has a licensing can use your prototype. And because we have friends in Massachusetts that we trust and we have them try it." And he said, "That's the holy grail for me." If you can reduce this to 10 minutes or less, you're on to something very big. And this is somebody that I respect a lot for looking at what he's done in the cannabis field. 
 And then later that day, I got on a phone with a fund, and it was a cannabis fund. And they said-- and I started talking about the reduction in the window, they said, "We're really not interested in that." I said, "What about topical?" He said, "What do you mean?" I said, "What about uses of it topically goes if you've got topical users that are effective, I'm all ears. I'm all in. Tell me about it." So I told them about the experiences of a dozen people, and he was -- I'm going to say he was in [indiscernible], he basically said, "You're onto something very big."
 So here, I've got 2 cannabis gurus. One of them is really interested in reducing the window. The other one is interested in the topical use of it. So exciting day for me last Friday when both of these things happen. Moving on, we've let the world know that because it's going to be several years before we're in the business of making machines and leasing them and getting them out that we would make 5 licenses, and we are clearly talking to 6 to 10 different people in 6 to 10 different states that they are interested where they could get an exclusive to our technology, our oldest technology, and we would build them -- custom build them an instrument, a bearer instrument and they would have a leg up for 3 years. 
 And so we're very -- we're in excellent discussions with a handful of people about this potential. We've talked last time about the issues we've had in our Office Park here and that we have a group that's 6 miles away that we're working with that we plan, as I said before, plan to move in during the month of May, and we still plan to move in, in the month of May to be able to alleviate the problems we have, which are that we can only make so much CBD material here. 
 Of course, we can't make any THC material but CBD material. Under license that we have that we can make it, but only a certain amount, and we're really inhibited with that. 
 But that's going to end when we move to this new facility. We've had fresh sales momentum in PBI-Agrochem, which is great. over 100-something us. We received a $1.5 million contract. That's a contract that we believe will be fulfilled during the year. It's everybody we've talked to and we're expecting new contracts to come in by the week, by the month going forward. But these contracts are from individuals that say, "I need a pilot run first, I need hundreds of vials, first and thousands of vials and tens of thousands of vials." So I'm happy to say that we've made the first 600 vials. They're already made. They're done. They're being labeled, and we have a site in Maryland that is interested in putting this on their website. 
 So keep eyes and ears open. I'm expecting that by this time next week, the first Ultra Shear process Nano-CBD will be available. We will certainly put the news out from the company. We'll give the website. I've had probably 2 dozen calls from people saying that I've sent sample to. How do I get this material? Where is it available? And it hasn't been available to now, but I believe that by this time next week, [indiscernible], latest next week, it will be available from a site in Maryland, and we will get the name and the phone number and the website and the links out to everybody once this is set up and ready to go. 
 So very excited about that. I'll remind everybody that our largest investor agreed to exchange over $10 million of debt into preferred stock into equity. He gave up his rights in debt, and he wanted to lead the way. We're asking other investors to do the same to help clean up the balance sheet as we try to get ready and more ready for an uplift this fall or later this fall. We had a very large single order from China for 16 pressure cycling technology instruments, and we talked about a great company called One World Products, which is developing a sports performance and recovery drink and our discussions with them, and we'll have some updates on that soon. 
 I think I'll just add a couple of things before we turn it over or let John see if he wants to add anything and then turn it over to questions. But what I'd like to add is that-- we are waiting. I've mentioned several-- we have mentioned several times before that we had a leading academic researcher, a full professor at a wonderful university, do a bioavailability study. And we've said that we were a little upset that it's taken this long to get it out because we want to get those data out. We have reason to believe that the data are quite good, and we're doing everything we can. But it's very important to have the data published in a peer-reviewed journal, and we're hopeful at this point that it will be published in the coming weeks. 
 I've said that before, but this time, I have more reason to believe that it will be published in the peer review journal on an online fairer journal in the coming weeks. And we're still targeting an uplift to Nasdaq and New York Stock Exchange later this year. I went to New York 2 weeks ago, I met a couple of great bankers at a broker-dealer that I like a lot. I had another call with them tomorrow. So we're still on board with any of this company listed on a national exchange. 
 John, before we turn it over to any questions, anything you want to add? You don't have to if you don't have, but give you the mic. 
John Hollister: No, I think I'm looking forward to hearing what questions for investors have for us. 
Richard Schumacher: Well, I'm looking forward to hearing some of them, but maybe some of them are not. But we'll take all questions. So Paul, if we could bring you back on and think about opening up the lines for some questions. 
Operator: [Operator Instructions]
 And the first question today is coming from Thomas Ellison, a private investor. 
Thomas Ellison: I have a tough question. I'm a bit confused during your November conference call, you basically said you had 3 $1 million-plus contracts, [ tolling ] contracts. You mentioned you could produce the large Tier 3 batches in hours. I'll round up to a week per batch. That was 26 weeks ago, and you only show around $700 of tolling revenue. Why can't you show $3 million in tolling revenue soon since you are now at a new facility or will soon be there. In my eyes, your local machine has basically been idle for 6 months. 
Richard Schumacher: Our local machine. Tough question, but a good one and one that we need to be willing to answer. I did answer some of this before, Tom, I'm not sure if you were on the call for the fiscal year. 
Thomas Ellison: I did. But I'm just saying that you're talking about $1 million a quarter. You threw out $3 million, and you said there would be follow-on. 
Richard Schumacher: And there will be, Tom. When I made... 
Thomas Ellison: $70,000 is crazy. 
Richard Schumacher: So what I said before, I'll say again, we moved into an office park 10 years ago. We renovated the warehouse downstairs into a facility that could generate -- that has an older shear machine. We started working on this and the renovations a year ago, and we were expecting to be able to do that downstairs. Two things happened. Number one is there is now a state regulation that limits the amount of water that we can put into the septic system. So the most we can do is kind of what we did for the 600 vials has done, and that will be shipped by Friday, and that will be available next week. So we're limited to about 600 vials every other week. That's the most we can do here. That's not going to get us to the promised land. 
 So we have negotiated a deal. The deal is for us to -- we have to finish one more thing before we can move there. And we're working on that diligently. It's a contract we have to work on and when we get that done, we'll move the machine downstairs and everything else over to the site, which is called artisans. I gave that name in the press release. And that will be, hopefully, in the next 2 weeks, we'll have it completed, we'll move over. They have everything that we need. We don't need to use water where they have a massive commercial chiller that will take the place of the water. They have the electricity that we need to have everything that we need. So we'll no longer be encumbered. And so I've asked John and Ken or 2 guys that are in marketing and sales to do everything they can to start going out there and closing on those deals. 
 So the first thing is the machine is able to do a lot more than we can do, but we're not able to do it here. Number 2, when we made that statement in November or whenever that was, it was absolutely positively true. One of those $1.5 million contract is the one that we're working on. And one of those 1.5 million contracts came from a gentleman in Colorado, who has now been sanctioned by the state in the last couple of months to -- for payment of -- or lack of payment of his taxes. And so unfortunately, we have to replace them because he's no longer in business. 
 And the third one is the group that we had out in Montana that we shipped a lot 2, and they are meeting this week. If you talk about the -- they use the samples to talk about whether or not they're going to continue with CBD or not. And if they do, we expect it will be with us. So at the time, there was a contract for the -- an agreement for what would be $1.5 million in a contract for that. We also have a gentleman who we think the world of, named John Westlake, who is a [ guru ] in cannabis, and he is a fourth guy who is also working on our behalf, and we're working on a contract for him. And as soon as that's signed, we expect his ticket will be turned on. 
 So I know you don't want to hear Tom. These aren't excuses. These are things that have happened. We're working past them. We found this additional $1.5 million contract. We have a potential contract from a genuine right here in Massachusetts, #2, and we're going to replace the gentleman in Colorado, I think, pretty quickly. Now that we have a facility that 30 days from now, 20 days from now, we should be up and running in. 
Thomas Ellison: Well, I know they want sample quantities. But in theory, you just mentioned when you have potentially $2 million, $1.5 million contracts. Why can't they be done by the end of this quarter, which is due 30th. 
Richard Schumacher: Well, none of them are going to be done even if I were in the space, I never said these are 1 point -- nobody's going to take $1.5 million of a brand-new contract. You test drive the car before you drive it. So he sets driving-- the gentleman in Maryland is test driving with-- we made 600 vials, and we got its labels. We're shipping them down or we're bringing them down to them, and they will be available online. I've told him that I believe he will sell out in a matter of a couple of weeks. He's not sure. He said, if I sell out in a couple of weeks, Rick, the next door. Now I want the next pilot. The next pilot is 10x the first one. So if he's getting 200, 300 vial shipments and the first one, I might myself bring down, and then he's got a second one coming. I think he'll sell out of that first one in a couple of weeks. He'll start selling the second one, and we'll start making the next vial, which I believe is 3,500 I think we'll be working on that in June. 
 So Tom, maybe that 3,500, we can do 3,500 in a new facility. I couldn't do it here, but we can do it in a new facility. So maybe we shipped the 3,500 in June, that $1.5 million is for a year. However, I believe that it's a very good possibility that the whole thing will be shipped before this year is out, even though that would only be about 8 months. 
Thomas Ellison: Well, it's good to hear the customers slowing the process versus -- I know you have a second issue. But yes, so it's really throttled by the customer seeing samples, sample samples before you give them a large factor. Well, then I'll just... 
Richard Schumacher: Thank for the pilots too, Tom. So when we send them 300 to 600, they're paying for those or pay them 3,500 they're paying for those. They just don't want to take 25,000 or 30,000 vials on something that they never tried to sell it. This is a brand-new product that doesn't exist in this world that I'm aware of. This is an all plant-based, no-preservative, 40 mid per mill CVD product. There is nothing like this in the world that I'm aware of, and I'm very excited about it. And the feedback we get, I'll turn it over to John because John has been right on the front lines of this and is talking to people now about contract and he samples out to a number of people. John? 
John Hollister: Tom, it's a great question. I'm glad you've heard from Rick that the announcement of $1.5 million contracts are the year projection of that and that it actually builds into that. And obviously, we went into a very disappointing learning in terms of the cooling necessary for production and that's even on small level production, but in large-scale production for our big lots, which are going to be rolling out over the course of the year, those reflect large volumes that subjecting systems just couldn't take. So we've had to pivot from that.
 I've just gotten back from a meeting in Las Vegas last week, and literally, people were seeking samples from us for all sorts of products, whether it was CBD or other essential oils because they're looking for ways to get higher bioavailability, reduce their costs of goods in terms of the cost per dose, which they can do with us, and they're just one after another, just one startled by the clarity of our products, so they're investigating putting this into beverages for different products and just endless enthusiasm. 
 And then yesterday, I received a call from somebody who had participated in the THC studies that Rick mentioned. And he wanted to report that one of the people who had been there an older woman who had knee pain reported that she had put the product on her knee and really almost a disability to keep here from walking and is very, very uncomfortable. She said that within minutes, she was able to walk around, really remarkable. And he was just calling to say that he had been a skeptic about this particular topical use and wanted to report how excited he was about learning this. 
 So I'm confident that we will have a number of different contracts in the near term to be able to report that will overlay on top of the 3 that Rick was discussing. So these will all layer on top of each other and build towards the exit of this year and the entry into 2024. So with that, I'll turn it back over to Rick. 
Operator: [Operator Instructions] The next question is coming from Gary Zwetchkenbaum from PlumTree Consulting. 
Gary Zwetchkenbaum: Congratulations, gentlemen. $740,000 per quarter, a 54% increase. Rick, you mentioned that the quarter were half in, you're looking for 7 figures, which is over $1 million. I wanted to see if we could focus-- I noticed that you said the cash earned for the quarter was reduced by 44%. So you were in 740, our burn was only $422 I think that's reflective of disciplined cash management. I wanted to ask you guys, John, in particular, on one area, the Agrochem.
  If I'm not mistaken, John, you can help me, but we did 130,000 in the previous quarter. And if I'm not mistaken, we are sitting with inventory currently over $0.5 million worth. I wanted to get an understanding of what it looks like we could do in sales for the rest of the year, John, we had had conversations about it. It might be more than $500,000. Could you just give me a little input on what's happening on that side and where you're selling at 130,000 was phenomenal. And if we have inventory over $500,000 or $600,000, that's a lot of money to -- for revenue. And if you could talk about that, I'd appreciate it. 
Richard Schumacher: So last year, we were -- as I think everybody knows, California was deeply affected by the drought, which impacted, particularly the San Joaquin Valley, which is historically where materials like this gets sold in great volume. And the distributors in the San Joaquin Valley became very conservative, and they drew back and they stopped looking for new materials. They were buying materials as needed, which was very limited. Of course, we've had kind of the opposite end of the blessing, if you will, I actually live in California and then in the heart of it all. We got a lot more water than the annual from 20% which is having kind of an interesting opposite effect.
  A lot of the San Joaquin Valley is underwater in a lot of places are too saturated. But having said that, we are beginning to see the return of growing seasons. The person who is the primary sales person for us in the San Joaquin Valley. One reports that our products are the best in the business. There's nothing quite like them. He is an incredible champion for it. And we're rebuilding a market that has -- this product line has not been in the market for a while, so it takes a little to reestablish. But we're encouraged with his initial uptake. We're hearing positive comments. And I certainly am hoping that we continue to pull some inventory that we have sitting in our warehouse up in the Reno area that is paid for material. 
 And so I think to your point, we should look to some more positive results from that. I'm not going to forecast exactly what that is because I don't think we've stated anything publicly, but we definitely are looking to have more contributions from Agrochem side over the course of these next 3 quarters. 
Gary Zwetchkenbaum: I wanted to ask if this is -- you mentioned the inventory we already have. If we sold the full amount of inventory that we've already paid for, we're talking about, can you give me that more than $500,000 or $600,000 at the current prices that we're paying, whether it took 3 months, 6 months or 9 months, isn't this quite a bit of inventory that we have? 
Richard Schumacher: Yes. So certainly, in that range or even a little higher than that in terms of the full value of sales of that material. 
Gary Zwetchkenbaum: That's great. 
Richard Schumacher: But in California, John, you might talk about -- you can't -- I couldn't go there or you couldn't go there and sell it. It has to be sold from a licensed person to a licensed person. 
John Hollister: Yes. So the technical term is a PCA. So these are people who are professionally trained licensed by the state to -- and are authorized to sell pesticide products, which covers herbicides. It also covers all sorts of different categories, these. But these licensed people are the only people can actually sell to the farmers. So in essence, what they're saying is this material is the appropriate material and is safe for you to use, given all the many rules and [ regs ] that exist in the agribusiness world. So it's something I can't run out as much as I grew up on a farm, so I'm very familiar with this, but I couldn't actually go sell these materials. You actually have to have licensed people who do that. 
Gary Zwetchkenbaum: But John, if I'm not mistaken, you've met in person with his gentleman, and he was responsible for making the sale of the 130,000. You met with him in person recently in the past few weeks or months. Am I correct? 
John Hollister: I have met with him, and he's -- as I mentioned, he's an absolute champion for the product and he has great credibility. He is a very senior person in this environment and has a great reputation. So we have a lot of confidence in what he's going to be able to achieve for us. 
Gary Zwetchkenbaum: We'll look forward to more sales in the coming quarters. 
Richard Schumacher: I'm not quite sure, but Gary was going to a certain place. I want to flare that up. It may have sounded like I was predicting $1 million quarter for the second quarter. I wasn't. Our goal this year is to have one of the remaining 3 quarters be a $1 million a quarter. That's our goal. And our goal next year is to have every month of at least 1 quarter to be $1 million month times 3 for the quarter. So these are lastly goals when you look back at our sales, but we think they're achievable. We think they're achievable, and it will tell the whole world we're moving in the right direction. 
Operator: There were no other questions at this time. I'd like to hand the call back to you now for closing remarks. 
Richard Schumacher: Sure. Well, John, thank you for joining me. And everybody, thanks for taking the time to come here and listen and somebody to ask questions, and you know you can always call. There's a lot of good things that are happening. I mean, we had a good quarter. We expect to have great quarters going forward. We have a lot of things. I said in the press release, we've had people talk about immune boosters. We've had people talk about sleep, help for sleep. We've had people talk about anti-aging creams and serums. And we have a play in all of these. We can't do it all, but we have a play in all of them. We are still talking to 2 major multimillion dollar firms that I have said. I expect to get a deal done with one or both this year, and I still do.
 We're talking to people about some of these other compounds that are way outside of cannabis. The cannabis market is huge. It's huge, but it's a drop in a bucket to some of the other markets that we're going to be going into. And we've proven ourselves over and over again. If you can get CBD out and into the bloodstream, if you can get THC out of oil and into the bloodstream very quickly, it stands the reason that you can get almost any, if not any active ingredient out of oil. 
 We don't touch what's inside the oil, we break down the oil. This is the difference between us and many others. We don't adversely affect. We don't positively affect. We don't touch the active ingredient side the oil. We break the oil down so that it's in hundreds of millions or billions of nano-sized oil droplets, which makes it far more available, far more soluble and for more bioavailable. So that's what we do. To me, it doesn't matter whether it's prednisone or retinal or curcumin or astaxanthin or THC, it doesn't matter what's in the oil. I believe that we're onto something very, very big. And I believe that we've started to see it. 
 And next week, it's going to be a great week because next week will be the first time we've made and shipped the product. It's actually going to be for sale. It's going to be on a website nationwide. My family in Washington state, my family in Florida can all just dial in and go online and buy the product, and they're asking for it because they've had some free samples and this is for CBD, not THC, of course. There's limits there. 
 So anyway, I'm excited about the past. I'm very excited about the future. I'm looking forward to every day. I'm looking forward to next week seeing our product on a website where it says, "Made by Ultra Shear." It will say that on a label, "Processed by Ultra Shear" So thanks again, everybody. I look forward to the next time we're on a call, which is going to be right around mid-August. Thanks again, and God bless everyone. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. 
Richard Schumacher: Thank you, Paul. We all set.